Operator: Good morning. My name is Sean, and I will be your conference operator today. At this time, I'd like to welcome everyone to the L Brands Fourth Quarter 2015 Earnings Call. I will now turn the call over to Ms. Amie Preston, Chief Investor Relations Officer for L Brands. Please go ahead. 
Amie Preston: Thank you. Good morning, everyone, and welcome to L Brands' fourth quarter earnings conference call for the period ending Saturday, January 30, 2016. As a matter of formality, I need to remind you that any forward-looking statements we may make today are subject to our safe harbor statement found in our SEC filings. Our fourth quarter earnings release and related financial information, including any non-GAAP or adjusted financial reconciliation tables, are available on our website, lb.com.
 Also available on our website is an investor presentation, which we will be referring to during this call. This call is being taped and can be replayed by dialing 1-866-NEWS-LTD. You can also listen to an audio replay from our website.
 Stuart Burgdoerfer, EVP and CFO; Nick Coe, CEO, Bath & Body Works; and Martin Waters, President, International, are all joining us today. After our prepared comments, we will be available to take your questions for as long as time permits.
 [Operator Instructions] All results that we discuss on the call today are adjusted results and exclude the first quarter 2015 pretax gain of $78.1 million or $0.23 per share related to the sale of our remaining interest in the third-party apparel sourcing business. Thanks. And now I'll the turn the call over to Stuart. 
Stuart Burgdoerfer: Thanks, Amie, and good morning, everyone. In an environment where a lot of retailers struggled, we delivered a record year and fourth quarter across all key metrics: Sales, operating income, operating income rate and earnings per share. These results are a testament to the strength of our brands and our differentiation, and a result of solid execution within our business and a focus on the fundamentals.
 While we manage the business conservatively, we utilize speed to chase back into what was working and maximize our opportunities. We improved our full year operating margin by 90 basis points to 18% and we grew operating income dollars by 12%. We also continue to return substantial value to shareholders. We increased our annual dividend by 20% to $2.40 per share. We declared a special dividend of $2 per share and authorized a new 500 million share repurchase program.
 Looking ahead to 2016, we're optimistic and confident in our opportunities for growth. As you know, we manage the business conservatively with respect to inventory and expenses to protect against any potential downside. Reflecting this mindset, the high end of our full year guidance implies a conservative view at mid-single-digit percentage growth in operating income dollars and a decline in the operating income rate. We would not be satisfied with that outcome, and we will continue to leverage speed to chase back into what's working and deliver upside to our forecast.
 We remain committed to our goal of 10% or better annual growth and operating income dollars and an operating income rate in the high-teens. Looking at the fourth quarter performance in more detail, as described on Page 4 of the presentation. Net sales for the quarter increased 8% to $4.395 billion and comps increased 6% on top of 6% last year. The gross margin rate increased 50 basis points to 45.6%, driven by an increase in the merchandise margin rate and buying and occupancy expense leverage. SG&A expense leveraged by 60 basis points. The operating income rate increased by 100 basis points to 24.5% and operating income dollars increased 13% to $1.078 billion.
 The tax rate in the quarter of 35.2% provided $0.08 of upside to our initial guidance. Earnings per share increased 14% to $2.15 versus $1.89 last year. Foreign currency had a negative impact of about $0.05 to 2015 fourth quarter EPS.
 Turning to our full year results on Page 5. Adjusted earnings per share increased 14% to $3.99 versus $3.50 last year. FX negatively impacted full year 2015 results by about $0.13. Net sales increased 6% to $12.154 billion and comps increased 5% on top of 4% last year. The gross margin rate increased 80 basis points to 42.8%, primarily driven by an increase in the merchandise margin rate. The SG&A rate leveraged by 10 basis points.
 Page 7 details our full year operating income results. Our full year operating income rate was 18%, up 90 basis points to last year. Operating income dollars increased $238.4 million or 12%, driven by growth in all 3 business segments.
 Turning to the balance sheet on Page 8. Retail inventories per square foot at cost ended the quarter up 4% versus last year, down 6% on a 2-year basis. Inventories are clean and well positioned. We expect to end the first quarter with inventory per square-foot up in the mid-single-digit range. 
 Operating cash flow in 2015 was $1.869 billion, free cash flow was $1.142 billion and capital expenditures were $727 million. We repurchased 5.5 million shares of stock in 2015 for $483 million. 
 Our 2016 forecast, as detailed on Page 11, reflects actions we are taking to grow our business. Growth in Victoria's Secret, in Bath & Body Works real estate, including a new Victoria's Secret flagship store on Fifth Avenue. Increased store selling payroll driven by our efforts to improve the customer experience and investments in international expansion. It also reflects an estimated negative impact resulting from foreign currency exchange rates, incremental interest expense related to last October's note issuance and a higher tax rate.
 Our first quarter earnings forecast reflects a 2% to 4% comp increase, including an updated February comp of up mid-single digits at Victoria's Secret and Bath & Body Works. To be clear, the store-only comp is expected to be up mid-single digits at both Victoria's Secret and Bath & Body Works. The earlier Easter this year will negatively impact March comps and positively impact April.
 As noted in our press release, beginning with our February sales release, we will include direct sales with reported comps consistent with industry practice. We expect the first quarter gross margin rate to be down to last year driven by some decline in the merchandise margin rate, primarily driven by foreign exchange and buying and occupancy deleverage. We expect some deleverage in the SG&A rate driven primarily by an increase in store selling costs. We expect interest and other nonoperating expense in the first quarter to be about $100 million. We expect earnings per share between $0.50 and $0.55 in the first quarter against last year's $0.61 result. This forecast includes a total negative impact of about $0.08 related to foreign currency, incremental interest expense and preopening cost for the flagship Fifth Avenue Victoria's Secret store.
 For the full year, we are projecting positive low single-digit comps. Total sales growth will be about 1 to 2 points higher than comps due to growth in square footage. Foreign currency translation is expected to have a slight negative impact to total sales growth. 
 We expect our full year gross margin rate to be down to last year, driven by a decline in the merchandise margin rate and buying and occupancy deleverage. The merchandise margin rate decline is driven primarily by the negative impact of foreign currency. Excluding this, we expect the merchandise margin rate to be about flat. 
 We expect the full year SG&A rate to be about flat to last year. Nonoperating expenses, consisting principally of interest expense, are projected to be about $390 million, about $0.12 a share higher than last year. Before any discrete items, we estimate our tax rate will be approximately 37% versus 36.2% in 2015. The higher projected tax rate in 2016 will negatively impact EPS by about $0.05. 
 We are forecasting weighted average shares of about 292 million in the first quarter and the full year. The lower share count will benefit earnings per share year-over-year by about $0.08. 
 Assuming all of these inputs, we expect earnings per share for the full year 2016 to be between $3.90 and $4.10. This estimate includes an estimated negative impact from foreign exchange of about $0.10. We're projecting 2016 CapEx between $900 million and $1 billion. As you know, about 70% of our CapEx budget is for real estate and stores. The remainder relates to investments in technology, logistics and facilities. 
 As detailed on Page 13 in the presentation, Victoria's Secret square footage in North America will increase by about 4% this year, driven by expansions of existing Victoria's Secret stores and 13 net new openings. Bath & Body Works square footage in North America will increase by about 5%, driven by 27 net new openings and 145 remodels. Total company square footage will increase by about 4%. Our increased investment in real estate will result in high single-digit percentage increase in buying and occupancy expense in 2016, about 3 points higher than growth in 2015.
 The Victoria's Secret Fifth Avenue store will drive incremental expense related to preopening cost of about $30 million. Bath & Body Works will also see more pressure from buying and occupancy cost as a result of our investment in Bath & Body Works and White Barn remodels. 
 Turning to liquidity. We expect 2016 free cash flow of about $700 million to $800 million. We remain committed to returning excess cash to shareholders through a combination of share repurchases and dividends. Our free cash flow and cash position, along with the additional availability under our revolving credit facility, result in very strong liquidity, which is more than sufficient under our working capital, capital expenditures, dividend and any other foreseeable needs.
 Turning to Victoria's Secret. I'd like to express our appreciation to Sharen for her leadership and all that she accomplished in her 16 years with the business. Victoria's Secret is well positioned for growth. We have a strong brand, great momentum and a highly talented team that is capable of leading the brand to continued success. Now turning to results. 
 The Victoria's Secret segment had a strong fourth quarter, growing both sales and earnings to record levels. Total sales increased 9% to $2.6 billion and comps increased 5% on top of 4% last year. Operating income increased $84 million or 17% to $593.6 million, and our operating income rate increased 150 basis points to 22.7%. 
 Our focus on reading and reacting with speed and agility positioned us to get back into trends more quickly and drove mid-teen growth in bras, high single-digit growth in panties and low 20s growth in PINK loungewear. Specific to the key holiday time period in the quarter, we delivered record results both Black Friday weekend and Cyber Monday. We continue to reposition our beauty category to be more consistent with the Victoria's Secret brand. Results for the business were down to last year as expected.
 Merchandise margin dollars for the segment increased versus last year driven by strength in both stores and direct. The rate was about flat to last year. We finished the quarter with inventory levels up to last year in line with expectations, driven by planned investments in PINK and additional beauty inventory to support the Fantasies restage. 
 Now let's turn to the specific channel performance starting with stores. 
 We are pleased with our fourth quarter performance as sales and operating income increased to record levels on top of record levels last year. Sales for the quarter increased 7% to $2 billion and comps increased 5% on top of 4% last year. We were pleased with the customer response to our holiday storytelling, which linked a consistent theme across all our customer touch points. We also added an incremental bra launch in December, which is successful in driving newness and holiday right product for gifting and self purchase. As a result, we had strong sales growth across our key businesses, bras, panties, sleepwear and PINK loungewear. 
 Merchandise margin dollars also increased versus last year. Merchandise margin rate was about flat, as full-price selling strength in PINK was offset by a planned sport event in January, declines in beauty as we reposition this category and an unfavorable FX impact in our Canadian business. Both buying and occupancy and SG&A rates leveraged in the quarter as we remain focused on disciplined expense management. For the quarter, operating income dollars and rate both increased.
 Now turning to the direct channel. Strong performance during the holiday period drove record sales and operating income results in the direct channel. Fourth quarter sales increased 15% to $567 million, driven by strength across the assortment. Bras, panties, sleep, PINK and sport all experienced double-digit growth to last year. We fully anniversary-ed last year's exit from apparel during the fourth quarter. The merchandise margin rate in dollars were up to last year during the quarter as we continued to distort to the core. Operating income dollars and rate increased significantly driven by the sales increase, margin rate expansion and expense leverage.
 Turning to our full year results. Total Victoria's Secret segment sales increased 6% to $7.7 billion. Operating income increased by $119 million to $1.4 billion. And the operating income rate improved by 50 basis points to 18.1%. In the store channel, comps increased 5% with total store channel sales up 7%. Merchandise margin dollars increased versus last year with rate about flat. Total expenses leveraged versus last year. As a result, operating income dollars increased versus last year and the rate was about flat.
 In the direct channel, sales increased 3% as 16% growth in go-forward categories more than offset the exit of non-go-forward apparel sales last year. The merchandise margin rate increased driven by the category mix benefit from the apparel exit and expenses leveraged. As a result, operating income rate in dollars were up significantly.
 Looking ahead to 2016. We will plan the business conservatively while focusing on driving growth in our core categories and leveraging speed to read and react. We will continue to invest in real estate, store selling and digital enhancements to create an even better shopping experience for our customers. 
 Thanks. And now I'll turn the discussion over to Nick. 
Nicholas Coe: Thanks, Stuart, and good morning, everyone. At Bath & Body Works, we were pleased with our record results during the quarter, building on record fourth quarter last year. We were able to drive solid growth in sales while improving margin rates and managing inventory levels down. 
 Total sales for the quarter were $1.5 billion, up 8% or $116 million to last year. Comps increased 6% and our direct channel sales grew by 24%. Sales were strong across the quarter, and we were able to drive growth in each of our 3 key businesses, our Signature Collection product line, the soap and sanitizer business and bathroom fragrance assortment. 
 Our concept of the Perfect Christmas resonated well with our customers, and we were pleased with the acceptance of our holiday assortment, the visual appeal of the stores and the in-store execution of our plans. The momentum from holiday continued with a solid semiannual sale performance that builds on last year's strong sales results. Promotional activity for the quarter was relatively flat to last year, and we were able to execute a plan that included fewer, but more impactful activities that generated a strong response from our customers.
 For the quarter, operating income was $487 million, up 8% versus last year. Our operating income rate improved by 10 basis points to 32.1%, driven mainly by an improvement in the merchandise margin rate, somewhat offset by increase in buying and occupancy expense as we continue our store investment program. Operating income for the quarter was negatively impacted by continued unfavorable foreign exchange pressure in our Canadian business. We continue to see strong performance in our BBW Direct channel. Fourth quarter operating income grew significantly versus last year, and annual sales were over $360 million.
 For fiscal 2015, total sales grew by 7% versus last year and comps increased 5%. Operating income was $858 million, up 16% versus last year. Our operating income rate improved by 190 basis points to 23.9%, driven by an improvement in the merchandise margin rate and expense leverage. 
 Looking ahead to the first quarter of 2016. As you would expect, we will continue to monitor customer preferences and leverage the strength of our read-and-react capabilities, allowing us to put the right product for full-price selling in front of our customers at the right time. 
 We will flow newness throughout the quarter beginning this month with our Let's go to Italy theme that features new and seasonal fragrances in our 3 key businesses. Our inventories are well positioned heading into the new year and are flexible enough to react to customer's preferences. 
 We remain focused on making the appropriate investments in our business, including the necessary increases in occupancy costs in order to continue our White Barn and Bath & Body Works remodel and expansion program. We've been pleased with the results to date of our White Barn format. We ended 2015 with 67 of our stores in the format containing White Barn. Of the 27 net openings and 145 remodels that Stuart mentioned in his remarks, we will -- all will contain our White Barn concept either in the side-by-side or a shop-in-shop format. 
 And with that, I'll turn the discussion over to Martin. 
Martin Waters: Thanks, Nick, and good morning, everyone. We continue to be very confident about our opportunity for growth internationally. Our brands are well received wherever we open around the world, and our execution has been excellent. Our foundation is very solid. 
 We saw a strong growth in retail sales on a constant currency basis across all of our formats in the fourth quarter. However, not all of this growth translated into recognized revenue. Fourth quarter recognized revenue in the international segment increased by 6% and operating income declined by $1.4 million to $28 million. Foreign currency had about a 5 point impact on our recorded revenue growth and about a $3 million negative impact to operating income.
 We had very solid growth in both recognized revenue and operating income in our company-owned stores in the U.K., in our franchise full assortment stores and in our Bath & Body Works stores. However, the VSBA business experienced a significant decline in both revenue and operating income in the fourth quarter.
 This decline was primarily the result of foreign currency translation, softness in travel retail and tourism generally and a decline in shipments of beauty products in anticipation of the new Victoria's Secret Fantasies collection being launched in the spring. 
 In the full year 2015, the international segment revenue increased by 15% to $385.2 million and operating income increased by 13% to $87.9 million. FX negatively impacted 2015 operating income by about $15 million. So absent the FX impact, operating income would have increased 32% and the rates would have increased by 200 basis points to 25.2%. We opened 144 new stores in 2015 to end the year with 531 stores in the international segment, and we plan to open about 175 stores in 2016.
 At Victoria's Secret International, we are pleased with performance of our full assortment stores. Our London flagship store on Bond Street as well as our 13 mall stores are operating very well, and we'll open another 5 stores in the U.K. this year. 
 In the Middle East, we now have 16 Victoria's Secret full assortment stores and 3 PINK stores open under our partnership with Alshaya. These stores continue to do well and will open another 12 or so full assortment stores this year, including in new geographies such as China, Mexico, Singapore and earlier this month, in Russia. We'll also open about 5 more PINK stores. 
 In the VSBA business, we ended the year with 373 locations, about 1/3 of which are in airports. We'll open another 90 or so across the globe in 2016. In Bath & Body Works, we now have 125 BBW stores under our franchise partnerships, and we continue to be very pleased with performance of these stores and expect to open another 65 or so BBW stores in the year ahead.
 So in summary, despite headwinds from foreign exchange, we made significant progress internationally in 2015, and we remain focused on the fundamentals, which is great execution of our brands wherever we go. 
Amie Preston: Thanks, Martin. That concludes our prepared comments. And at this time, we'd be happy to take your questions. [Operator Instructions] 
Operator: [Operator Instructions] And your first question comes from Kimberly Greenberger with Morgan Stanley. 
Kimberly Greenberger: Stuart, my question is on the Q1 guidance and just looking out to 2016, can you just talk a little bit more if you have some direction on the amount of gross margin deleverage? How much of that is coming from preopening rent? And is the big change in preopening rent in 2016 primarily related to the Fifth Avenue store? Or are there other sort of chunky stores that are going to be working their way into the expense base through the year? 
Stuart Burgdoerfer: Sure. In terms of the gross margin decline particularly in Q1, the deleverage in buying and occupancy is more significant than the merchandise margin decline. Again, the merch margin decline is largely a function of foreign currency, but the B&O deleverage is the more significant component. And the preopening related to Fifth Avenue is the biggest driver of that. As Nick commented on, though, however, we are -- which we view as a very good thing, these investments are good, investing in remodeling Bath & Body Works and location including White Barn elements. So the B&O deleverage is the bigger part, to answer your question. The fact that we're building a global flagship on Fifth Avenue, we view as a very positive thing. And it certainly puts some short-term pressure in the P&L. But for our business, over the long term, it's a terrific thing. It's going to be a great store. And again, the opportunity to remodel Bath & Body and include White Barn in those remodels is also a very good thing, but it puts some short-term pressure on the P&L. 
Kimberly Greenberger: Wondering if the pressure is in full force in Q1 already or does the preopening expense sort of escalate through the year? 
Stuart Burgdoerfer: It doesn't escalate through the year. And we expect that store to open in November, the Fifth Avenue store. 
Operator: Your next question comes from Lindsay Drucker Mann with Goldman Sachs. 
Lindsay Mann: Stuart, I wanted to ask, you opened the call by talking about how you plan the business. You're planning the business for mid-single-digit underlying profit growth, but you wouldn't be satisfied with it. You look for 10% plus, you're committed to it. I was curious what the drivers of meeting those targets this year would be in light of some of the incremental expenses. Is it you have to do better on comps than you've planned? Or are there other tools in your toolkit? 
Stuart Burgdoerfer: Yes, it's a great question. I mean, as you outlined the question, I mean, getting a sales result better than what's inherent in the forecast, is the most important thing at the end of the day. But we do have other tools in our toolkit. And while there are pressures, whether it's currency or other things, beauty at Victoria's, pressures on the merchandise margin line, we'll continue to leverage our speed tools and work to get some further improvement related to that in our big businesses. And we manage expenses in a tough-minded way. And we're clear minded about growing expenses in aggregates lower than sales. And some of those things we can adjust more quickly than others. But we're not looking to go backwards on our operating income rate, which is what would be implied by this guidance, I realize. But starting with Les and the other leaders in the business, we're not of a mindset where we go backwards on profit rate. 
Lindsay Mann: Great. And just to quickly follow up. In the past, when you had reporting changes, I'm thinking specifically when Canada moved into North America and away from being a separate entity, it actually reflected some internal changes in how you thought about the business, whereas before there were a wall between the 2, now they work together. At least that was my impression. Is the reporting of direct comps with store comps similarly a reflection of how you might be thinking about the businesses? 
Stuart Burgdoerfer: Not so much, to be honest with you, Lindsay. And this change got some good debate within the business and you may have heard me speak previously about some of our views on it. At the end of the day, we were the clear outlier in the industry. And folks, externally, we're trying to estimate what our comps would be with direct in it as everybody else in the industry does. So that's why we made the change. There's no signaling about the trend of our business. There's no significant change organizationally or how we think about the business. We've always thought about the business from a customer first standpoint. And this change in reporting is solely to follow the trend in the industry. We were the only one, as we could understand it, that was not including direct in comps, and that's why we made the change. There's nothing else, nothing else to interpret. 
Operator: And your next question comes from Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: I wanted to follow up on the beauty struggles that VS has been having. Can you just step back and diagnose what you think the problem was? What the fix looks like? And then how quickly might we see this flowing through the top line? 
Stuart Burgdoerfer: Yes, beauty is an important category for us, as you appreciate, that's why you're asking about it. At the end of the day, it's a very good business. As you're aware, we've made changes to the product line that we call Fantasies, mists and body lotions and body creams. And we think we elevated the product to be more consistent with the emotional content of the Victoria's Secret brand. But there's more work to do to continue to elevate product at Victoria's Secret beauty and to ensure that we get the other elements of merchandising in line with that elevation, whether it's about how it's displayed in the store, how it's sold in the store, it's pricing. We'll be looking at all those things. We are looking at all those things. And we're very confident that we'll get it sorted out. But it's going to take a little bit of time. 
Operator: Your next question comes from Anne-Charlotte Windal with Bernstein. 
Anne-Charlotte Windal: A question for Nick on Bath & Body Works. So you are anniversary-ing a very strong year from a comp standpoint. So looking back to 2015, I mean, in hindsight, is there anything you could have done differently? And then looking at 2016, where are the growth opportunities? 
Nicholas Coe: The things we could have done differently in '15. Not to jump out immediately, I think we like the way the business performed. We liked our read-and-react capabilities. We were happy with being slightly less promotional, and the mix of the business was healthy. If I think about 2016, it's really going to be about trying to ensure that we continue to grow whilst taking into consideration the investments that we're making into real estate from both the White Barn and the Bath & Body Works perspectives that will, obviously, put some pressure into the business. So really -- and that is really about leveraging 2 things. One is the natural strength -- on the ongoing strength that we've had at the home business. And of course, the necessity to keep the fleets looking as good as possible. So that's really where our attention is going to be, is making sure that top line continues to perform well, so we can continue to afford the investments that we're making. 
Operator: Your next question comes from Omar Saad from Evercore ISI. 
Omar Saad: Wanted to follow up on PINK. I think 4 new stores, stand-alone stores this year. I think you did somewhere in the teens last year. Are you learning something there? Or is it shifting more to the full assortment of PINK within the Victoria's Secret stores? Help me understand what's happening with that brand, that'd be helpful. 
Stuart Burgdoerfer: Omar, it's Stuart. I mean, the business is performing incredibly well. So let's just start with that. I mean, the merchandising sales growth, the margin results, the momentum in that business, the strength in that business is terrific. As I think we've been relatively clear about over time, the specifics on real estate are largely a function of what's going on mall by mall. Our views about expanding square footage for PINK haven't changed at all. Meaning, we believe that there's substantial sales growth and profit growth opportunity, adding more square footage for PINK, and we'll continue to do that through a combination of remodels and freestanding PINKs. But there will be year-to-year variation in the number of freestanding PINKs versus growth through remodels. That again is a function of mall-by-mall circumstances that are in front of us. So that's how we look at it. And the 2016 PINK freestanding new stores, it looks like we're, as you point out, we're going to open 5 and close 1 for a net of 4. But again, the square footage growth for PINK isn't changing in any material way. Very big growth opportunity for us. 
Operator: Your next question comes from Brian Tunick with RBC. 
Brian Tunick: I guess, question on the leadership transition at Vickies. Are there any other, not holes, but opportunities to focus on additional category growth or accelerate that, particularly on the VSX or on the swim side? And any thoughts on that perspective. 
Stuart Burgdoerfer: Well, Brian, this is Stuart. As it relates to leadership at Victoria's Secret, first of all, as I mentioned in the remarks, I mean, the business is in terrific shape, as you know. I mean, it's a great brand, coming off record results. And all that comes from a very talented leadership team at Victoria's Secret on the store side of the business, on the direct side of the business. And what that team is focused on is executing fundamentals really well in 2016 to deliver yet another record result. So are there significant holes per se or opportunities, we've got a very good team. 
Operator: Your next question comes from Howard Tubin with Guggenheim Securities. 
Howard Tubin: Can you guys just give us an idea what the launch cadence looks like or the newness factor looks like this year relative to last year at both of the divisions? 
Amie Preston: Yes. Thanks, Howard. We'll start with Nick. 
Nicholas Coe: It's kind of comparable to last year, really, in terms of the overarching both flow of how we think about how we're flowing merchandise and also probably around the level of newness that we anticipate. There's no major shifts as it relates to sell timing or launch period. There's probably an opportunity to think about how we performed in November, December Christmas time frame or the timing associated with the flow of that. But from a material change, nothing of a significant magnitude. 
Stuart Burgdoerfer: Howard, for Victoria's Secret, the launch cadence, number of launches will be the same, very consistent as compared to a year ago. Obviously, the specifics are different. We don't comment a lot about the details of what we're doing in advance. But in terms of overall approach and number of the launches, highly consistent. 
Operator: Your next question comes from Paul Lejuez with Citi Research. 
Paul Lejuez: Just curious if you could share maybe your thinking, in which product category do you feel you might have the greatest pricing power or perhaps opposite where you might need to be a little sharper on pricing. And then, just separate, Stuart, on the depreciation line, it looks like a pretty big increase in '16. Just curious if there's anything being accelerated that leads to that double-digit increase. 
Amie Preston: Thanks. So we'll start with Nick on the pricing question. 
Nicholas Coe: Paul, so we're constantly looking at pricing through the lens of both customer acceptance from a product perspective as well as what elasticity we think we have in both ticket prices, while there's promotional price. And as you know, over the course of the last couple of years, we've taken some ticket increases that we haven't had any barrier to. And I think our ongoing goal is always to think about how do we get paid for innovation that we put in, how do we get paid for the newness in a way that gets us to full-price selling. As it relates to whether we think we have power, I think in both our signature business as well as our home business, as we continue to see strength in it, there's obviously opportunity to look at how are we priced and is there an opportunity for either price-up or aggressive full-price selling. And that's typically part of the course in terms of how we actually think about running the business on a day-to-day basis. So price is obviously top of mind for us. 
Stuart Burgdoerfer: As it relates to Victoria's Secret, I think it's generally true for the company. I mean, the pricing power starts with the power of the brand and the differentiation that we provide through the brand, through the store experience, through the merchandise. And I would say the balance point, as we think about it, is always being mindful of reinvesting in the product and being thoughtful about driving transactions in units versus rate. And I think the business, including at Victoria's Secret, works hard to strike that balance and has the range of pricing evaluations, including good/better/best pricing and so on. So I think we look at pricing carefully, the particular area that we're thinking about, I imagine a number of retailers are, as it relates to foreign exchange. How does one think about pricing? I don't have any specific comment on that. But you would appreciate that we're thinking about that. But the pricing power starts with the brand and runs with newness and speed, and we try to balance velocity and rate. 
Amie Preston: And depreciation, Stuart? 
Stuart Burgdoerfer: Oh, sorry. Depreciation is running with CapEx. So we're investing a lot in -- Thanks, Amie. We're investing a lot in the business, which we feel very positive and optimistic about. And the depreciation increases are really principally driven by the increased levels of capital spending in the business over the last few years. 
Operator: Your next question comes from Ike Boruchow with Wells Fargo. 
Irwin Boruchow: I guess my question would be on international, and I guess specifically, the VSBA. I think in the prepared remarks, you guys commented that the revenue and profit was down, and a lot of that was currency. But could you comment a little bit more, because you -- I mean, there's 100 more VSBAs than there were last year. I'm just kind of curious, if you ex out the currency and whatnot, the organic trend of that business and also, I think, in the guidance, you're planning to close 10 of them. I don't know if I've ever seen you guys put that out. And can you just give us more color on that? What areas are that? Are they the tourist-focused areas? Just kind of interested what's going on with VSBA. 
Martin Waters: Yes, thanks for the question, Ike. So just to dimension how VSBA fits into the segment as a whole, there are 4 businesses, reminder, there are 4 businesses within the international segment. So there's the Victoria's Secret full assortment owned stores in the U.K., the full assortment stores into the franchise business, the Bath & Body Works international business and the franchise arrangements, and there's VSBA. 3 of those 4 businesses have very strong year and very strong quarter. As you rightly point out, our problem in the segment was VSBA. And I'd say there are 3 drivers of that difficulty, as I said in the preprepared remarks, and they're about in equal measure. One is FX, which impacts both recognized revenue and operating income. The second is a general softness in travel retail, particularly people from Russia, from China and tourist destinations that are related to the Middle East and security pressures there have been affected. And I think the -- has been written about widely across the travel retail industry. And the third, which we absolutely own and would take responsibility for, is weakness in our Victoria's Secret beauty business, particularly related to the Fantasies relaunch. And that affected our business globally. To the questions about how we feel about the fundamentals of the business and store closures, we feel very, very good about VSBA. It's a very profitable business, has a lot of runway ahead of it. It tees up the brand internationally very well for us. And we will continue to increase our footprint in that business. The closures, and I think there will be maybe 10, we're guessing, we can see about 5 right now, and we're positioning that it may be up to 10, come from a number of things. One is, on occasion, we close the VSBA in order to replace it with a VSFA. So to put a big store where a small store was, that's good news. That's a really good thing. Second is the nature of travel retailers. These leases tend to be 3-year leases. So just by normal course of business, some of our stores that are 5 years old or more will be coming up for renewal. And other times they're just relocations. So there's nothing sinister in the closure numbers. We have a lot of confidence in the business and the foundations are strong. 
Operator: Your next question comes from Roxanne Meyer with MKM Partners. 
Roxanne Meyer: My question is on speed at Victoria's Secret. I'm just wondering if you could give us an update as to where you are with speed. And are there certain categories which represent a disproportionate opportunity going forward? 
Stuart Burgdoerfer: Yes, at Victoria's Secret, PINK is, we would say, the fastest within the business. But with that said, speed has been leveraged in the lingerie business generally and in the beauty business. But Roxanne, in answer to your question, where is the biggest opportunity, it's on the beauty side of the business in terms of getting faster. And there's work happening to get after that opportunity. But PINK is very fast. Lingerie has made substantial progress and is also very fast, and inherently, a little more complicated given the more complicated construction of its bras and things like that versus the PINK assortment. So lingerie has also made very good progress. And to be clear, I think the biggest opportunity -- we think the biggest opportunity in speed at Victoria's is in the beauty side of the business. 
Operator: You next question comes from Oliver Chen with Cowen and Company. 
Oliver Chen: I just had a question regarding digital sales. And a lot of retailers are able to achieve really leveraging their store network in terms of ship from store and pickup in store. There's been a real material mix this past year. So what do you think about that frontier in terms of where you may go? And is there interest from your customer? And if you could update us on how you are evolving in terms of your mobile presence. I know you've been kind of a pioneer on a long-term basis with your online business. 
Amie Preston: Thanks, Oliver. We'll go to Stuart for that. 
Stuart Burgdoerfer: Yes, on the click and collect and ship from store, I mean, the balance point, we're all aware, you're aware, we're aware of what others are doing. I think the balance point is -- and so there's opportunity there. But the balance point is how it sequences and prioritizes versus something like the selling initiative that we've got going on in our stores. And one of the things that we try to be very disciplined about is being focused in our business. And there's no doubt that there's opportunity in click and collect and driving more footsteps to the stores. But I think the balance point is, we also see very substantial opportunity in growing sales in stores through more effective selling. And so I think we'll get to those things over time. But we'll be thinking about how they relate to other things, we're trying to get done in stores and ensuring that we have great experiences for customers that are in our stores. I don't know, Nick, if you have anything to add from the Bath & Body perspective? 
Nicholas Coe: No, about the same. 
Oliver Chen: And on the mobile front, was there anything on mobile that we should know about? 
Stuart Burgdoerfer: Terrific, terrific business. We continue to make what I'll describe as continuous improvements to the technology for customers doing business using mobile devices. And I think, as is the case in the industry, we're seeing very substantial growth in our mobile business. And we're working hard to make various improvements. We've made some. We'll continue to make some to make sure that's a great experience for customers. Great, great part of the business, that's for sure. 
Operator: You next question comes from Amie Shapiro (sic) [Marni Shapiro] with The Retail Tracker. 
Marni Shapiro: So I have a -- you've spent a lot of 2015, particularly in Bath & Body Works, but also at Victoria's Secret, tweaking the pricing on your promotions and it's worked very well. As we think forward into 2016, will you continue to do this? And has it helped to push up the AUR at the stores at all? 
Amie Preston: Thanks, Marni. We'll start with Nick. 
Nicholas Coe: Marni, yes and yes. So I think on an ongoing basis, whenever we can, we're very, very focused on, one, how do we maximize price point, but also, at the same time, look from the margin gains that come with that. And so we've seen a couple of things work well for us. We've been slightly less promotional overall, playing with the price points, and that has absolutely helped margin. But it's only been -- we've only really been able to do it because of product acceptance. So we think about how our #1 goal is really putting a product out that she likes and trying to get it to full price. And in certain businesses, we've seen a very, very good traction. So we're seeing AUR up, but we've also seen margin, obviously, margin rates come along with that. And if we can't get to that magic place of continuing to pull back less promotion, we know that, that's a brand equity building play for us. 
Stuart Burgdoerfer: Victoria's Secret thinks about it the same way, I mean, they really do. They've done working the space, they'll continue to do working the space, and Nick said it well, for any retail business, it starts with the quality of the product. 
Operator: Your next question comes from Dorothy Lakner with Topeka Capital. 
Dorothy Lakner: Just wanted to see if we could get an update on, in terms of Victoria's Secret, where you're moving the needle on getting the full assortment in more stores? I think you talked about there being about 800 that still did not have the full lingerie assortment. In PINK, I think, likewise. If you could just indicate where you think you'll be as you increase the square footage growth in the business this year, where you think you -- how much progress you'll make this year? 
Stuart Burgdoerfer: Sure. So we're going to remodel a lot of stores. And you've got the detail of that in the analyst package in terms of the number of reconstructions. And as you would expect, when we remodel those stores, we're looking to make the highest best use of that space. And so our activity has been significant over the last 3 to 5 years in terms of remodeling stores, and we've made progress. And we'll continue to make progress in 2016 with a lot of projects. We obviously wouldn't look to have the full assortment in all stores. So we'll use our business judgment about tiering assortments based on the venue and the sales potential. But we'll continue to make good progress in 2016 given the real estate activity we've got for Victoria's Secret in North America. 
Operator: Your next question comes from Mark Altschwager with Baird. 
Mark Altschwager: In the context of VS leadership changes, can you just talk about how you're thinking about the organizational structure there? And any areas of opportunity you see to potentially drive greater speed and agility within the organization? And then separately, just a quick follow-up for Martin. Appreciate all the additional color on the drivers of international performance, just any help on how we should be thinking about the growth rates and margin profile of that segment in 2016. 
Stuart Burgdoerfer: So on Victoria's Secret leadership, Les has always been involved in the business. And as you would understand from our announcements, he'll be substantially more involved in the business. And as things develop in 2016, we'll be looking for ways to simplify and focus that organization. Do we have specifics? Absolutely not. Is that our mindset generally in our business? It is. But in terms of the detail of that, we've got a great leadership team. As I mentioned earlier, what we're most focused on are things that impact the customers. So merchandise and speed and doing things in stores and online well. But certainly, the business will look at ways to simplify and focus things as we move forward. 
Amie Preston: Thanks. And Martin on... 
Martin Waters: Yes, I think in terms of growth on international, we're pretty transparent in the analyst pack on Page 15 about where the store growth will come from. If I help to interpret that, the biggest area of growth for us in 2016 will be in the full assortment business. So we will have our biggest year of store openings ever by some distance. And the complexity of that will increase significantly as we're opening in new markets with new partners that we haven't operated with before. So as I mentioned, we have Russia that already opened earlier this month. We have Mexico coming. We have China. We have Singapore. We're actively looking at real estate in lots of other geographies as well. So I think you'll see a real ramp-up in the full assortment store participation of the business. How you model for that, I recognize it's tricky. You've got 4 businesses and you've got 3 different models owned, royalty and wholesale. It's difficult to do. I would say, overall, you should expect our revenue growth to be below that of our store growth as the stores are skewed to smaller stores. And if it was around the 20%, I think that's where I would expect it to be. 
Operator: Your next question comes from Jeff Stein with Northcoast Research. 
Jeffrey Stein: A question regarding White Barn. I think mid-last year, when you had roughly 60 of these locations, if I recall, you were comping up around 25%. And I'm wondering if that -- did that trend continue through the end of the fiscal year? And do you think that's sustainable as you remodel the 140 plus for the current year? 
Nicholas Coe: So yes and yes. So we continue to like the trend of that business. Hence, as we mentioned, we're rolling obviously more of them out next year. Now I want to preface, obviously, that when you hear that kind of number, it's a range. We see a range of all sorts of performances on average. We very much like the performance that's happened, and they continue to be good. And so as we think about 2016, obviously, we've got more stores rolling and our #1 goal is to maintain the comp in the business period and then, obviously, the comp performance that we've seen in those White Barn stores primarily because of the investment that we've made. But yes, we like the results from last year. We like the results currently. And obviously, we'll do what we do really well, which is we'll read and react, and we'll monitor it. So we won't just continue to go blindly if things change. But so far, so good. 
Operator: Your next question comes from Richard Jaffe with Stifel. 
Richard Jaffe: A question about my favorite division, La Senza. You noticed or I noticed the expansion into the U.S. and wondering what's inspired the investment in La Senza and what we should look for in the U.S. in terms of product mix, differentiation from Vickie and especially the PINK business? 
Amie Preston: Thanks, Richard. We'll go to Martin for that question. 
Martin Waters: Okay. Thanks, Richard. I'm glad it's your favorite segment. Mine, too. So we continue to make really good progress in La Senza. We've had a multi-quarter roller coaster comps. Very strong sales performance really driven by being faster to market, more fashion-right, and zeroing in on the customer with a young, sexy, obvious, value positioning. And that positioning is what really differentiates it from both PINK and from Victoria. And in markets around the world where we see the 3 lingerie brands present, we know that they trade effectively alongside each other. They appeal to different customers. And where they appeal to the same customer in different shopping modes and different moods, it's all good. So yes, we're excited to bring La Senza to the U.S. We'll open probably 5 stores in the fall. Our first store is opening in November. Not particularly material in terms of the CapEx as those stores are only 2,000 square feet in space, not particularly material in terms of preopening costs, but very significant in terms of the future growth opportunity that, that represents. We won't get too far ahead of ourselves in claiming victory. It's just a test, and we'll call it over the holiday period, and we'll report back in January. But certainly, very exciting progress for the brand. 
Operator: Your final question comes from Matthew Boss with JPMorgan. 
Matthew Boss: So with the direct business now having inflected to the positive side, what's the best way to think about leverage points in 2016 and then beyond, both on the buying and occupancy and then on the SG&A from a fixed cost comp hurdle? 
Stuart Burgdoerfer: Yes, as we mentioned in our prepared remarks, occupancy will be growing at a faster rate in 2016. So as it relates to that part of our cost structure, the leverage point is higher. And then, as it relates to the direct business in terms of its overall impact on leverage points, not a significant effect. The biggest effect is our investment in real estate in 2016 and growing at a high single-digit rate above the growth rate from 2015. 
Amie Preston: Thanks, Stuart, and thanks, Matthew, and thanks to all of you for joining us today and for your continued interest in L Brands. 
Operator: And this concludes today's conference. You may now disconnect.